Operator: Ladies and gentlemen, thank you for standing by, and welcome to Global Payments Third Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference will be recorded. At this time, I would like to turn the conference over to your host, Executive Vice President and Chief of Staff, Jane Elliott. Please go ahead. 
Jane Elliott: Thank you. Good afternoon, and welcome to Global Payments Fiscal 2014 Third Quarter Conference Call. Our call today is scheduled for 1 hour, and joining me on the call are Paul Garcia, Chairman; Jeff Sloan, President and CEO; and David Mangum, Senior Executive Vice President and CFO.
 Before we begin, I'd like to remind you that some of the comments made by management during the conference call contain forward-looking statements, which are subject to risks and uncertainties discussed in our SEC filings, including our most recent 10-K and 10-Q. These risks and uncertainties could cause actual results to differ materially. We caution you not to place undue reliance on these statements. Forward-looking statements made during this call speak only as of the date of this call, and we undertake no obligation to update them. 
 In addition, some of the comments made on this call may refer to certain measures, such as cash earnings, which are not in accordance with GAAP. Management believes these results more clearly reflect comparative operating performance. And for a full reconciliation of cash earnings to GAAP results in accordance with Regulation G, please see our press release furnished as an exhibit to our Form 8-K filed earlier today. The press release is also available in the Investors Relations area of our website at www.globalpaymentsinc.com. 
 Now I'd like to introduce Jeff Sloan. Jeff? 
Jeffrey Sloan: Thank you, Jane, and thanks, everyone, for joining us this afternoon. We delivered solid results for the quarter, growing revenue by 7% and cash earnings per share by 10%. As a result, we are raising our annual fiscal 2014 cash earnings per share expectations and tightening the range to $4.06 to $4.11, or 11% to 13% growth. 
 Our performance demonstrates that we continue to gain momentum as we drive sustainable growth by executing the right strategies in each of our markets. Globally, we focus on building and growing our direct distribution channels while concurrently leveraging our worldwide technology platforms. 
 Here in North America, for example, we are pleased to have completed our PayPros acquisition in early March. This transaction marks a continuation of our strategy to pivot toward direct sales channels in our largest market. I'm delighted to report that we are already seeing early wins as we begin to integrate the best of the APT and PayPros businesses. 
 Now for quarterly highlights. We are pleased with our international performance, reflecting solid execution on our strategic initiatives, with particularly strong performance in our international e-Commerce channel. We also continue to make progress in our Asia business as evidenced by the double-digit revenue growth that David will describe shortly. 
 We are delighted to report that North America continued to deliver solid results both in the United States and Canada. The U.S. results were driven by strong performance across our direct channels, headlined by our integrated solutions business. And, of course, we are very pleased with recent sales momentum in our gaming business and the movement of our integrated businesses into Canada. 
 Canada delivered another quarter of stable performance. Revenue growth was driven by 5% credit transaction growth and assessment-based changes. As previously noted, these changes will partially annualize during our fourth quarter. 
 Especially noteworthy this quarter is the expansion of our North American operating margins. We believe our margins demonstrate successful execution of our distribution strategies. This progress, of course, does not yet reflect the consummation of the PayPros acquisition given its March 4 close date. 
 Now I will turn the call over to David. 
David Mangum: Thank you, Jeff. We are pleased by the solid business performance across all of our markets during the quarter. North America revenue grew 5%, with U.S. revenue growth of 6% and transaction growth of 6%. Canada revenue grew 11% in local currency for the quarter, and we continue to expect mid to high single-digit revenue growth in local currency for the full year. 
 North America cash operating income grew 9% to $69 million. Cash operating margin grew about 60 basis points over prior year to 16%. Our full year expectations for North America cash operating margins remain unchanged at flat to slightly increasing compared to prior year. 
 International revenue grew 10% for the quarter in U.S. dollars. Europe delivered solid revenue growth, with particular strength in our e-Commerce business and Spain. Asia-Pacific revenue grew 10% over last year, with pricing and new assessments driving growth in our base business.
 International cash operating income of $66 million grew 8%. Cash operating margins decreased about 60 basis points to 35% as a result of continued strong growth in our e-Commerce channel and investments in Asia. We are on track for stable cash operating margins in international for the full year.
 For the quarter, total company cash operating margin was 18.2%. This included over $3 million of an expected full year $17 million incremental security spend. Excluding the security spend, total company cash operating margin for the quarter would have increased about 30 basis points over prior year to 18.7%. 
 Currency trends were roughly in line with our expectations for the third quarter. However, movements in rates for Canada and Russia are likely to be more challenging in the fourth quarter than we previously expected. We now expect that foreign currency translation will represent a modest headwind to cash earnings per share for the full year. Our expectations, of course, reflect this. We continue to expect that both GAAP and cash effective tax rates will approach 29% for the full year. 
 For fiscal 2014, we expect PayPros to contribute modestly to U.S. revenue and be about neutral to cash earnings per share. We are in the beginning stages of executing an integration plan for PayPros that will continue through fiscal 2015.
 PayPros represents an important milestone in the execution of our strategy to control direct sales, expand technology-enabled distribution and drive more revenue and earnings growth from our direct channels. As growth slows in our ISO channel and we add PayPros to the mix at the beginning of the fourth quarter, our 90 or so active ISO partners in the United States now represent, in aggregate, a low double-digit percentage of total Global Payments operating income and, thus, contribute about 20% to North American operating income.
 We generated free cash flow of $88 million this quarter. We define free cash flow as net operating cash flows, excluding the impact of settlement, assets and obligations, less capital expenditures and distributions to noncontrolling interests. 
 Capital expenditures totaled $20 million for the quarter, and we continue to anticipate our fiscal 2014 capital expenditures will total about $90 million. Our total available cash, including working capital, at the end of the quarter was about $320 million.
 During the quarter, we completed the $100 million accelerated share repurchase program we announced in October of 2013. We also purchased 155,000 shares in the open market during the quarter. We are pleased with the refinancing we closed at the end of February. We now have about $1 billion of debt capacity available to fund future growth initiatives and share repurchases. And on that note, we are delighted to announce that our Board of Directors approved an additional share repurchase authorization of $250 million. We now have about $365 million of total authorization remaining for potential further share repurchases.
 We are increasing our annual fiscal 2014 cash earnings per share expectations and tightening the expectation range to $4.06 to $4.11, reflecting 11% to 13% growth over fiscal 2013. We are maintaining our annual revenue expectations of $2.51 billion to $2.56 billion or 6% to 8% growth. We remain on track to achieve stable total company cash operating margins for the fiscal year, including the negative effect of the $17 million incremental step function in security spending. 
 Now I'd like to turn the call back over to Jeff. 
Jeffrey Sloan: Thanks, David. We are executing well on our strategies around the world, and we maintain substantial capital flexibility to achieve our goals. We believe that we have made the pivot toward critical mass of direct distribution while maintaining a careful balance to create value for our shareholders, partners and employees. 
 I'll now turn the call over to Jane. 
Jane Elliott: Thanks. [Operator Instructions] Thank you. And operator, we will now go to questions. 
Operator: [Operator Instructions] Our first question today comes from George Mihalos with Crédit Suisse. 
Georgios Mihalos: Just wanted to start off on the PayPros side, sort of what is the expectation from a revenue standpoint in the fourth quarter? Are we talking somewhere around $25-or-so million and sort of neutral on an EBIT basis? 
David Mangum: George, it's David. Yes, you've got it right. If you recall our disclosure at the time we closed, we gave you kind of the run rate the last 12 months of being about $100 million of revenue. So $25 million is a perfectly good assumption for Q4. And then you get to earnings neutral when you think of a nice solid business with nice margins. But we're in the beginning stages of a long-term integration to combine the best of our APT and our PayPros now into the best of Global Payments. So when you wash that in for the fourth quarter, you've got about earnings neutral for the quarter. 
Georgios Mihalos: Okay, great. And just maybe you can help us think of the margin profile longer-term for the PayPros business. And is it safe to say that x the PayPros acquisition for 4Q, that margins would clearly be up on the North American side? 
David Mangum: Yes. So, George, I'm going to sound like I'm repeating myself relative to what we said on the order of a year ago when we first bought APT, which is we've just bought a business that operates at a higher margin than Global Payments, that is expanding that margin with profitable growth and is the same kind of growth profile we saw with APT. When you bring the numbers I just described into the total company for the quarter, they really don't make a material difference at all to margins. So the trajectory you have us on for the year for North America for total company, so for the year for North America, that's flat to slightly increasing margins, it's unchanged bringing PayPros in. So anything you would have had in your model previously really for Q4 can kind of roll that forward. PayPros is not going to make a big difference to that. And similarly, for the total company, at that level, they were expecting stable margins in total and margins that would otherwise be expanding were it not for the security investment. PayPros doesn't make a big difference there. The difference of PayPros comes over the years to come. 
Operator: Your next question is from Bryan Keane with Deutsche Bank. 
Bryan Keane: I just want to ask about the Russia situation. I know you guys have some exposure to Russia and, obviously, with the political landscape the way it is, just curious to know if you could talk a little bit about your Russia business, how big it is and any expected impact. 
Jeffrey Sloan: Bryan, it's Jeff. I'll start and then David can provide some additional financial commentary. So I think you touched on the right point. I do believe that what's going on in Russia is primarily a political event. And with political events, it is difficult to handicap what may happen in the coming days and weeks. We continue to monitor Russia and evaluate the business situation. But you just heard David express our guidance raise for fiscal 2014, which, of course, includes our current evaluation of the Russian situation. So we don't expect, as David mentioned in his prepared remarks, this situation to have a material effect on fiscal '14. David, do you want to add some? 
David Mangum: I think all I'd add to that is just, remember, Russia is a fast-growing -- is a very small piece of Global Payments overall. 
Bryan Keane: Have you guys actually seen any impact on the Russia business so far or nothing to date? 
David Mangum: Well, I think what I'd say, I'd point you right back to our full year expectations. They're unchanged. We've obviously done the best we can to assess what's going on, but our expectations are unchanged. 
Bryan Keane: Okay. And then I just wanted to ask on the U.S. business, the growth rate, 6% was kind of in line. But anything -- any kind of sales -- same-store sales weakness that you saw, anything you can describe further to give us color on the U.S. market? 
David Mangum: Yes. I think it's a great question and kind of interesting when you pull apart the pieces as you add in PayPros and think about it. I'd first point you to 6% revenue growth was matched by 6% transaction growth, which, if you think of the history of Global Payments, is really quite an interesting combination of metric and dollars. We used to see really rapid ISO growth that would drive high transaction growth and then have a big delta between that and the actual revenue growth, much less the actual operating income growth you might see coming through on the bottom line. At this stage, in terms of same stores and some of the other metrics, average ticket's very stable, spread's stable, transaction is growing like revenue. What you're seeing, and part of why we sort of enhanced, for the moment, the way we're talking about the way the channels work and fit together, is nice, fast-growing, direct revenue channels coming in like APT and as we add PayPros. At the same time, the ISOs are slowing down, which is when you combine that with Canada, it's what's allowing to see the operating income growth and the margin leverage you see in the third quarter from North America. 
Operator: Your next question is from Jason Kupferberg with Jefferies. 
Jason Kupferberg: Just a follow-up on PayPros. The color in Q4 is helpful, but how should we be thinking about it on kind of a go-forward basis annualized? I mean, what sort of cash EPS accretion can we see from PayPros? 
David Mangum: Jason, it's David. Obviously, we're not going to talk about 2015. So we're not ready to project PayPros. I'd tell you the way to think about it, again, is a nice margin business coming into Global Payments. Add to that, though, integration costs while we try and create, again, the best of the assets we have. We obviously expect it to be accretive, but it will be -- whatever that accretion will be will be held down a bit by integration costs but more to come as we get to July and really talk to you about 2015. 
Jason Kupferberg: Okay. And then Mercury has obviously filed to go public here. So they've got some public disclosure out there now about their contractual relationship with you guys and indicating that they're migrating some of their processing services in-house. Can you just clarify for us what exactly they're taking in-house versus what you guys are going to continue to provide to them? I think your contract runs through 2018. Is there any kind of material revenue headwind we should be starting to think about at some point in time from the piece that they're migrating in-house? 
Jeffrey Sloan: Jason, it's Jeff. I'll start. So the first thing I'd say is we think it's very good news that Mercury is going public. We wish them a lot of success. They are a very good partner of ours and have been for a really long period of time. And as part of the partnership, we're only going to be successful if they're also successful. So I think you touched on one of the key points, which is, and we mentioned this last July in our prepared remarks, that our contract and our relationship with them has been extended through 2018, which is, of course, in their documentation. So we are going to have a very strong long-term relationship with Mercury based on what you mentioned and based on what we've described. And as between the two of us, we're providing both transactional as well as non-transactional services for Mercury through that period. Over what period of time and in what form is going to vary depending on what they would prefer to do and what we would like to do. So some of that description is in the S-1. I also would add that our relationship with them is not just in the United States but also in Canada. So we're actually in multiple geographies with Mercury. So from our perspective, it's a complex long-term relationship. We're going to be partners for quite an extended period of time. And our relationship with them, of course, is reflected in David's prepared remarks around our guidance for fiscal 2014. David, would you add any? 
David Mangum: No, I think you summarized it. 
Jeffrey Sloan: So we'll see how it plays out. But we're very excited for them, and we're sure they'll be very successful. And we think that's ultimately to their benefit, as well as ours. 
Operator: Your next question is from Glenn Greene with Oppenheimer. 
Glenn Greene: A couple of clarifications on some of the discussion that the guys have been asking. The first on the full year guide. I guess some of the questions I have been getting are you sort of include -- I just want to think about the full year guide. So including $25 million or so for PayPros, it sounds like there are some incremental FX headwinds. I think, David, you called out Canada and Russia. Could you just give us some context of why you didn't raise the full year guide? Is it just so that you're sort of still within the high end of the range? Did anything slow in the core business? I guess just a little bit color on how you thought about the full year guide given the fact that PayPros should be additive. 
Jeffrey Sloan: Yes. And, Glenn, let me make sure I answer your question precisely. That's a revenue guidance question? 
Glenn Greene: Yes. Exactly. 
Jeffrey Sloan: Okay. So here's the way to think about it. I think as a starting point, I'd go back to the commentary on the United States revenue. The ISOs, as a channel, have been slower this year than in previous years and, frankly, admittedly, a little slower than we expected. Given that slowdown, which, of course, is happy net news to Global Payments when you think of where we're performing from an earnings and a margin perspective, but given that slowdown in revenue, one might have wanted to model us toward the lower to middle end of the revenue range. When you bring in then the increment of PayPros, you're adding on the order of an estimated $25 million or so, leaves you still within the range. And then you've raised the right final point to this, which is our range always is designed to accommodate possible range of FX outcomes. Certainly, as we enter the quarter, we see the U.S. dollar strengthening further against the Canadian dollar and against the ruble than we would have expected 3 months ago, much less 9 months ago, when we first set up the year. So if you bring all these things together, you end up, really, with the same range you had before, again, I would say, for a number of happy reasons, quite frankly. 
Glenn Greene: Okay. That's clear. And then to follow up on Jason's question as it relates to Mercury, I'll sort of talk about the ISO business. I guess you sort of talked about the ISO business, for most of this year, has been slowing, largely through the law -- due to the law of large numbers. Is that the primary factor? Or some of it -- that Mercury has already transitioned some of their volumes in-house? I guess the question we're all trying to get our arms around is not necessarily on fiscal '14 because we know that's sort of been baked into your guide. But is there like a big headwind we should be thinking about as we go into '15 and '16? 
David Mangum: Well, I think the way to think about this is what we've been saying. The ISO is a channel. You think of the sheer size and the sheer amount of revenue and transactions that comes from them have been slowing down. That's true across, as I said in the prepared comments, our broadly 90 or so active ISOs. That's the right way to think about the ISO channel. We gave you the rough sizing in aggregate of the channel. That sizing is spread across 90 different active -- literally active ISOs. And so I would think about the channel in that way. Anything else would be a little bit of speculation as to how relationships evolve and what the future looks like, and we'll report that to you as we go along, as we reach milestones in those certain things. But right now, we have what we know, and that's baked into our expectations for '14. 
Glenn Greene: Would you -- one more. Would you be comfortable giving us the ISO percentage of North America or aggregate revenue, along with the operating income disclosure, which was very helpful? 
David Mangum: Yes. It's actually not a matter of comfort. For me, it's a matter of I'm not sure how relevant it is at this stage. I think the income is far more interesting. I certainly think the way we perform this year indicates to you what we're managing to is the income and, hopefully, as a result, the margin impact of all of our various channels around the world. The fact that we might have some grossed up revenue, quite frankly, in some cases, might not even help if you think through how the channel's evolving over time. 
Operator: Your next question is from Matthew Roswell from RBC Capital Markets. 
Matthew Roswell: Yes, I was wondering if you'd be willing to give us the Asia-Pacific transaction growth. You mentioned that it was up on pricing and assessments. 
David Mangum: I don't have that in front of me. We really aren't quoting and breaking out the markets other than in the U.S. where that important comparison of transactions to revenue growth is rolling on. I would say to you, transaction growth is certainly less than revenue growth in Asia because that revenue growth in the base was a feature of pricing, along with some new assessments from the networks. So you're on the right track, but we're really trying not to break out, market by market, each piece of transaction growth. 
Matthew Roswell: Okay. And then I was wondering if you've seen any change in the Canadian consumer, concern about possible slowdown up there? 
Jeffrey Sloan: Yes, Matthew, it's Jeff. No, we have not. I think if you look at the credit transaction growth, which was in my prepared remarks for this quarter, and then if you look at the last several quarters that we've described, we had very healthy growth this quarter in Canadian credit transaction growth, which, in our view, really is a fundamental sign of the health of the Canadian consumer. And that is obviously -- the last several quarters were obviously significantly higher than it was 1.5 years or 2 years ago. So I would say, if anything, we see a consistent, stable performance out of the Canadian consumer. 
Operator: Your next question comes from Brett Huff with Stephens. 
Brett Huff: Question on margins going forward. I know there's lots of levers that you guys have been able to work on, both from a mix point of view, and I know you're consistently working on the expense base and the more efficient technology. And I don't -- I think -- I guess it's a question for you, David. I'm not sure. But can you just give us a highlight -- we know about the security spend, but maybe you could tell us -- remind us again. Is that -- I don't think that's a step function up again next year. I think it's a run rate. But beyond that, what other initiatives do you have going on that we should think about that help you guys battle that ISO dilution on the margin other than just that, that growth is slowing a little bit? 
David Mangum: Sure, Brett. Great question. So you're quite right about the security spend. We expect our security investment to scale now like the rest of the infrastructure. In any given year, as we go into the year, the infrastructure departments, whether they're accounting or they're IT, receive a budget target that says, "You're supposed to scale -- your cost per transaction has to go down year after year after year." We're not going to skimp or scrimp on security spending. But with this onetime investment increment we saw in '14 will not repeat itself as another big giant investment increment. And in fact, the way we think about it now is if security's the #1 priority for the company, which it should be, then maybe that stands in front of another investment we would have otherwise made as we think through the pieces of 2015, '16, '17, '18 and beyond. If you then stop for a moment and sort of think through the other drivers of margin, I would point you to -- although you mentioned it and wanted to set it aside for a moment, I would go back to the ISOs. To the extent they continue to grow more slowly, that reduces the headwind we've been struggling against for several years, quite frankly, and that's helpful. And remember, too, we just bought PayPros, which again is coming in as a higher-margin business pre-integration costs but then will scale, no doubt, routinely from thereon in, just as we've seen APT do over the last year or so. And then probably the final piece of the puzzle that's a little difficult to see on the surface of the income statement right now is really Canada, which -- to the extent we continue to see what Jeff pointed out a moment ago, which is healthy credit transaction growth, this past quarter was 5%, and as I've said before, manageable spreads, now you have your second biggest asset helping it and helping push the company forward from an operating income and a margin perspective. That's an important distinction we're seeing for the first time this year in some time, and we would expect that trend to continue. Again, as long as those credit transaction growth numbers remain healthy, we have a nice piece of the puzzle. 
Brett Huff: That's helpful. And then just another question, on the Caesars deal, can you size that for us at all or more color? 
Jeffrey Sloan: Yes. It's Jeff, Brett. We really don't break out, as a matter of policy, separate customer relationships financially. I would tell you that, as you know, for the last several years, as we've announced publicly, we already had a piece of the Caesars business. So it's additive to what we currently had. But I can't really give you a lot of metrics around the revenue or profitability, except that it's additive to our current book. 
David Mangum: Maybe I'll add a little color only in that you can read other [ph] disclosure out there and suggest to you that all of the services encompassed in other [ph] disclosure are not services we perform necessarily. We do some of that through our partners. So the numbers you might have seen bandied about are not the appropriate numbers for Global Payments. The services we offer link to what Jeff just described, so just bear that in mind. And having said that, we're thrilled to expand our relationship with Caesars. 
Operator: Your next question comes from Jennifer Dugan with Sterne Agee. 
Jennifer Dugan: I wanted to ask about the acquisition pipeline. I know that it's probably a funny question after you've made these couple of really great acquisitions here. But should we be looking for you to slow down a little bit as you work on integration and focus more on buybacks? Or do you still have a pretty active acquisition pipeline? 
Jeffrey Sloan: No, we still have an active acquisition pipeline, Jennifer. We balance very carefully our acquisition investments versus our balance sheet, our debt capacity and our repurchase work. So as David announced in his prepared comments, we have $1 billion of available debt capacity and roughly another $300 million of available cash, as he described. So I wouldn't look at it and say that because we've done deals like PayPros or APT that we don't have sufficient available capacity. In fact, one of the reasons we worked on our very successful refinancing in February was to make sure that we have debt capacity to balance those going forward. So it's a very full pipeline. We're opportunistic. But I do think the additional repurchases authority that we described in our prepared remarks gives you an indication of how we're balancing investments in acquisitions versus investments in repurchases. And I think as we said previously, we have a very good track record of consummating those repurchases over time, and that's what I would expect us to do. 
Jennifer Dugan: Okay, great. And then in terms of the next acquisitions or joint ventures, are those more likely to be here in the States or overseas in Asia? I think we're still kind of waiting to see some more action in expanding the Asia footprint. What might the timing be on that? 
Jeffrey Sloan: Well, that's a great question. So as I said before, Jennifer, the majority of the battle is whether something is available for sale first; and then second, is it a good partner; and third is what would the returns look like, especially in comparison to repurchasing more stock. So I would tell you that we have a very active pipeline as it relates to Asia, which is the source of your question. We are certainly actively looking at markets in Australia and South Korea that we are not currently present in and in markets that we are present in today that we'd like to be bigger in. Those include India, Mainland China and the Philippines, and we're in each of those markets and we'd like to have more scale going forward. So by far, the most important thing is, is it available? But those markets I indicated, we're very actively looking at transactions in. And so I think we said in our January Investor Day at that time, we had looked at 55 transactions over the previous few years and I think we had done 3 at that time. So that gives you a sense just in terms of your handicapping, Jennifer, that it's hard to give you precise dates because we tend to walk away from 95% of the things that we see using the criteria that I mentioned. But we are keenly focused on expanding our footprint. And we'll balance that versus repurchases to generate better returns. 
Operator: Your next question comes from Tien-tsin Huang with JP Morgan. 
Tien-Tsin Huang: The -- I'm glad you gave that ISO disclosure. That's great to have. I'm just curious, the slowdown that you guys talked about, anything specific in there that drove the slowdown maybe this quarter? And also just looking ahead, thinking about U.S. transaction growth, how should we benchmark that to say whatever Visa, MasterCard metrics or some of the other industry numbers out there? Can we still assume you can grow at a premium, even with the sort of ISO trend? 
David Mangum: Tien-tsin, it's David. I think that I can't point to any one thing, which is part of why I think we often talk about the law of large numbers relative to the ISO trends. I can't find you any one specific thing when we analyze, again, the 90 or so and how the pieces are coming together. I think as you look forward and you think of the businesses we're processing for APT and for PayPros married to the rest of our direct book, it's fair to expect those businesses to transact at a higher rate than market. They're doing that today. They're growing faster than market, whether you want to measure that on a revenue, income or transactional basis. We obviously don't break it out, so you can't see it. But I think you can imagine it's implicit in some of the numbers we report. And that may be some color we need to keep thinking about as we go forward as the ISO trend continues. 
Jeffrey Sloan: I would just add to that, Tien-tsin, that, of course, our gaming business, with the announcement that we made the other day, which we're very pleased to have additional business with Caesars, our gaming business, we believe, today is growing more quickly than market. And hopefully pro forma with Caesars in it, we expect those rates to continue. So back to David's point, as you look at the various pieces of engines of growth that we've been investing in, at least in my opinion, those businesses are growing in excess of the relative market rates. 
Tien-Tsin Huang: Okay. That's good to know. I'm just trying to think if that's -- if we're sort of closer to the bottom with the 6, and it feels like with PayPros, we would be, but I guess we'll take a view on that. On the -- just as my follow-up, just thinking about Canada pricing outlook, I think both, Jeff, you and David said spreads are fine. I know that the comps are coming up, but how is the pricing outlook or spread outlook look in Canada now? 
Jeffrey Sloan: Yes, Tien-tsin, it's Jeff, I'll start. So those spreads have been relatively stable. So we're very pleased with where the business is situated today. The most important thing in my opinion, Tien-tsin, is as we referred to in our prepared remarks, 5% credit transaction growth, which is a vast majority of how we get paid in Canada, really provides a lot of opportunity and flexibility for us to grow that business normally going forward. So as we said before, going back to our Investor Day in January of '13, our focus really was on stabilizing Canada. As we've said in our guidance, we don't expect 11% local currency growth in revenue to continue indefinitely. And in fact, as I mentioned, the fourth quarter we anniversary that a bit. But if we start with mid-single digit credit transaction growth, there's a lot we can do to effect the low single-digit revenue growth outlook long-term that we gave you in January of 2013. 
Tien-Tsin Huang: Okay, that's good to know. One more quick housekeeping, if you don't mind. Unencumbered cash at this point now, given I know there's buybacks and PayPros closed March 4 I think you said in the Q. What should we use as encumbered cash? 
David Mangum: Yes, use $318 million, Tien-tsin. If you just take a look at the balance sheet, it's a little bit illusory in that we had there staged cash for the PayPros close. We're drawing down the debt, so it looks like 660-or-so in the balance sheet. So if you realize that 3 or 4 days later we closed PayPros, the number at the end of the quarter unencumbered available that you might add to the debt for total capacity is $300 million. 
Operator: Your next question comes from Kevin McVeigh with Macquarie. 
Kevin McVeigh: You really had a nice boost to the buyback. Any sense on another accelerated or opportunistic -- just how we should think about that capital being put to work over the balance of this year? 
David Mangum: Yes, sure, Kevin. So I think -- it's David -- I think that you should, as always, expect us to be routinely in market buying back stock. But I think we've shown you that we move aggressively when we do deal with an authorization. When we move forward -- make the decision to buy back, we buy back aggressively and quickly. So nothing should surprise you as we roll forward. Just remember, for everyone on the call, all the 2014 expectations exclude any spend of that incremental authorization. 
Kevin McVeigh: Got it. And then just in the ISO channels, over the course of time, do you have any targets in terms of where that ultimately settles as a percentage of operating income, as you kind of consolidate PayPros and APT in aggregate? Any sense of how we're thinking about that longer term? And is there any type of sensitivity to what it would accrete to from a margin perspective based on becoming less concentrated, if you will? 
David Mangum: Yes. I think in reverse order, the key to the margin is just, in the first place, having less of an ongoing headwind because it's growing -- because the ISO channel formerly grew faster than the rest of the channels. That's made a lot of difference, obviously combined with a healthier Canada. Those 2 alone are sort of the linchpins of then having the rest of the pieces of the sort of asset allocation pie really work well together. If you think about the longer-term trends, we're going to continue to focus on direct distribution and things we control at the merchant relationship level. We're going to continue to focus, we believe, then on the higher-growing pieces of that asset. How the curves work and at what rate ISOs move, interestingly enough, we don't control. We hope our partners are wildly successful in that things continues to grow, they continue to grow for a very long time. But they will become, we believe, an ever-shrinking piece of the overall pie of Global Payments. Hopefully you got a sense of their place in the pie now. We're comfortable with where they are now in terms of being the minority of North America and the significant minority of total company. So we have the pieces we can manage much the same way Jeff described, being able to manage Canada. If we have solid credit transaction growth, we have things we can manage in Canada. Where the ISOs are now, they are great partners. They're a good piece of the overall portfolio of Global Payments from a direct perspective that we're investing in other high-growth assets. So that curve should continue down in terms of their overall share. At what rate depends on how quickly we grow and how quickly we acquire. 
Operator: The next question comes from Steven Kwok with KBW. 
Steven Kwok: Just a quick follow-up on the PayPros acquisition. I was just wondering how long does it typically take for you to integrate the acquisition? If we look back at APT, how long did that take? 
David Mangum: Maybe I'll start, and Jeff will take over as well. I think that these are very different acquisitions. APT, a little over 1.5 years ago as we sit here, was our first material foray into integrated payments. Now we bought another market leader in the same space. We have a unique opportunity to combine the best of both, whether you're talking about sales channels and sales approaches, how we go to market, how we serve customers, how customers see the technology, how the dentist offices interact with the technology, what it looks like, how our partners integrate with it. So that creates a more complex integration. Again, you're taking 2 $400 million acquisitions, combine them into the best, of wanting to try and make 1 and 1 equal 3, Steven. And so that can take a little bit longer than when you buy a stand-alone business, and you're really talking about integrating accounting and finance and HR, which can be done fairly quickly. So we've got a lot of work in front of us. It's work we've done before. It's work we're quite good at doing, and we've got great energy and we're off to a great sales start, as you heard in Jeff's prepared comments from the combined entity. But there's a lot of work to do. And recall, we just closed this almost exactly a month ago. 
Jeffrey Sloan: I would just add to what David said, Steven, that APT was one of our existing ISOs at the time. So by definition, while there are things certainly to be done, they were in general -- it wasn't entirely true, but it was mostly true, that they were on our platform using our systems, et cetera. PayPros is not one of our existing ISOs prior to our acquisition about a month ago. So in addition to everything that David said, we also need to look at that when we think about the scope and the timing on an effected integration. 
Kevin McVeigh: Got it. And then just a follow-up around the European environment. Today we saw some headlines around the European parliament voting around the payments proposals. Was curious around your thoughts of any potential impacts, whether it's -- does this bring some potential opportunities around the European marketplace for you? 
Jeffrey Sloan: Yes, Steven, it's Jeff. I would say -- and I was just there for about 1.5 weeks visiting our people and our partners in both in the U.K. and in Continental Europe. I would say that it's consistent with our thesis that in many of our markets including for these purposes, Europe and the EU, that interchange is likely to come down. So much of that legislation, of course, is addressed more squarely at interchange or, in particular, cross-border interchange. I think that is a -- not just consistent with our thesis but good news for us. As costs of acceptance decline, the demand for our products and services should increase. The fact that we are in a number of markets across Europe makes our technology and operating environment even more attractive to potential merchant partners because many of these rates, as you described, are expressed as cross-border. So we already have that experience and have those people in market to drive additional demand for our products and services. And then lastly, I would say that from an M&A pipeline point of view, I think change is a good thing. But I think the market's changing and the additional complexity may drive a number of partners who we've been talking to, and potential partners, to think about partnering with us in some of those markets that we've been focusing on over time as they try to think about what these changes mean for their stand-alone businesses. So while interchange is a pass-through for us, it doesn't impact us, certainly bank partnerships, it will impact the banks' issuing businesses. And those are conversations that we have when we were there in the last 1.5 weeks. So I'm probably a bit more optimistic sitting here today, having been through, first, that trip, but second, reading about where the EU is and where Visa is on that topic about our ability to find more partnerships in parts of Europe that we're not physically present in today. 
Operator: Your next question comes from Tom McCrohan with Janney. 
Thomas McCrohar: Can you give us your view on how the ISO industry will evolve over the next several years, given merchant acquisition, merchant underwriting appears to be migrating quickly to technology providers, either tablet solution providers like Square and ShopKeep, or the integrated point-of-sale providers such as accelerated PayPros and Mercury? 
Jeffrey Sloan: Tom, it's Jeff. So of course, I think you hit the nail in the head. We, of course, share that thesis. So the last $850 million of acquisitions that we've done at the company were in PayPros, APT and CyberSource, in that order. And the common thing among the 3 was technology-enabled distributions with additionally attractive margins. So we obviously share the thrust of what you described. I think at the end of the day, if you look out 3 to 5 years from now, Tom, I think that mobility and tablets and integrated solutions are certainly going to be a very big part of what the industry does globally, especially here in the United States. But I think there's always going to be a market for traditional ISOs in that business. I think you are likely to see additional business models evolve over time where the quality of the application matters as much as what tablet device that you're selling. So I think for us and our peers becoming more of a software, I think we've already become a technology services company today, but becoming more of a software provider, where it's important that we have our own proprietary applications to drive acceptance at the point-of-sale. I think our business model incorporating not just transactional or basis point fees, but also incorporating software-as-a-service type fees as an addition, are all very important things for us, our partners and the ISOs to do in our business. But I always think that there's going to be a good business for what our ISOs, our 90 active ISOs do today going forward. Now as David described, I think that will be a very healthy viable business. But I do think there may be impacts around the rates of growth in that business. So if you go back to what we've described this quarter and prior quarters, where we're investing, where I started out in the answer, is in areas that we think, because they're technology enabled, have better-than-market rates of growth. And I would answer it as that's where we see the growth, the incremental growth, coming from. But there will still be growth in the ISO businesses. But I do think that those will be slowing, and that's in fact what you've seen in the last 3 or 4 quarters as we've been describing our ISO business in our earnings calls. 
Thomas McCrohar: As a quick follow-up, can you, Jeff or David, just give a quick update on your relationship or partnership with ShopKeep and how that's progressing? 
David Mangum: Sure. I'll talk about that, Tom. So we're very pleased with our partnership with ShopKeep. We've deployed ShopKeep here in the United States. And I'd add, beyond that we have tablet providers as well as mobile and dongle providers, in some cases our own, in many of our markets around the world. So it's really a U.S. conversation with ShopKeep, but it's a worldwide conversation as it relates to our own dongle in 5 markets in Asia and as it relates to our partnerships with Intuit and PayPal mobile, for example, in the U.K. So ShopKeep is a very important element of that. We are selling that through our own website here in the U.S. And we're very pleased with how that's progressing. But to go back to your first question, I think that will be part of the solution, but I don't think that will be the only solution if we look out 3 to 5 years in terms of how we distribute our products going forward. 
Operator: Your next question comes from Ashwin Shirvaikar. 
Ashwin Shirvaikar: You guys provide a lot qualitative detail on PayPros and the integration. Could you quantify perhaps what it means in terms of specifics with regards to what should we expect in dollar terms over the next 12 months? 
David Mangum: Ashwin, it's David. It's hard to be a lot more specific than we've been. So let's start with how we think it's incrementing into the fourth quarter, and then we can speak a little bit more about the characteristics of the asset itself. So we talked about is on the order of $25 million of incremental revenue coming in for fourth quarter, and we have it for the bulk of the quarter. We've talked about it coming in earnings neutral as we get started owning the asset. That includes the idea of integration expenses offsetting fundamental profitability in the business that operates at a higher margin than Global Payments in total. As we go forward, we expect that margin to increase certainly over the longer to medium-term. And I appreciate you giving me an opportunity to give a longer-term answer to this question. Over the course of '15, we'll have more integration expenses, continue to operate the business. You have a double-digit revenue grower at higher margins than Global Payments, again, pre the integration conversation and at margins we expect to expand over the next 1, 2, 3 years. So quite frankly, what we expect is something that performs quite like APT did, come in as a nice grower, enhance the growth when we combine the best of the 2 businesses in the Global Payments, enhance it again and drive incrementally stronger and stronger margins over time. Again, and to go back to something Jeff just said a moment ago about our thesis, technology-enabled distribution growing faster than market with sustainable competitive advantage. 
Ashwin Shirvaikar: Got it. Could you also talk about the outlook for traction of products like DCC? Can that continue to be a tailwind? And what else is there in the pipeline that you can sort of keep adding to that? 
David Mangum: Yes, sure. So maybe building on, Jeff described, increasing software applications. Jeff described the tablet applications that may reach other types of merchants over the longer term either directly or via partnerships. You mentioned DCC. It's a great example. DCC to this day is still not fully rolled out in all of our markets around the world. It's been very successful, as you well know, in Asia. It's been very successful in Spain. It's just starting out in North America. It's just starting out in the United Kingdom, for example. So that's an opportunity, more installment payment plans, an opportunity. Web-in-a-box solutions for small to medium-sized merchants around the world, an opportunity we're just rolling out right now. As you know, we have, we believe, untapped opportunity in e-Commerce in our own customer base and really in our target customer base around the world of small to medium-sized merchants. And if you were to go around market by market, we think there's opportunity in each market for new products specific to each of those markets. Finally, I think I might add to that, although it's not a product, certainly given the breadth of our solutions and our scope across Europe, fundamental change -- interchange and cost structure of Europe from an interchange in a regulatory perspective [ph] is an opportunity for a company like ourselves, which has both domestic presence but the ability to go cross-border as well. And then as you well know, we see significant growth in our e-Commerce solutions over partnering with other folks like PayPal around the world. So more and more of that to come. And then other network solutions are coming to market that should create broader acceptance for some of the networks that aren't Visa and MasterCard over the medium to longer term as well. All of that to be rolled out in the United States, Canada, United Kingdom over the next year or 2 as well. 
Operator: We will take the last question from Andrew Jeffrey from SunTrust. 
Andrew Jeffrey: David, I guess the first one would be housekeeping for you. As we think about cash EBIT margin in North America, accounting for PayPros, do you know what  the annual or what the quarterly amortization add back might look like? Have you gotten that far yet? 
David Mangum: No, we really haven't, Andrew. In fact, having just closed it, we're just getting started on what the purchase accounting analysis will look like. So I really don't have a number for you for that one yet. 
Andrew Jeffrey: Okay. But suffice to say, it's not dilutive to margin in any way, right? And you've been pretty clear about that. 
Jeffrey Sloan: Right, again, we tend to focus on the cash margin. So on that front, yes. When you add in whatever purchase accounting is going to be when you get to GAAP, that's the part that I can't answer right now. 
Andrew Jeffrey: Right. Okay. And integration, are you going to call that out or is that going to be part of your sort of just all rolled up into your report as cash segment EBIT margin? 
David Mangum: Yes, a couple -- let me draw a distinction here because you raised a really good question. The general sort of T&E and things like that, the odd consulting and things like that, those are the kinds of integration expenses that are going to hold down the incremental cash profitability of PayPros initially as we go through the integration process. Let me park that for a second. The other side of integration, the severance and those kinds of things, that will be called out as one-time charges. 
Andrew Jeffrey: Got it, okay, so ongoing sort of works its way in your reported results. 
David Mangum: Yes, and thanks for allowing me to clarify that. 
Andrew Jeffrey: And then, Jeff, you mentioned in your prepared remarks reporting integrated solutions, rest of world, I think what you said was Canada specifically. Could you elaborate on that a little bit just as far as market structure and whether there are any investments or go-to-market changes you might have to make to gain traction with integrated or more direct solutions rest of world? 
Jeffrey Sloan: Yes, it's a great question, Andrew. So we announced the other day that we had entered Canada with our APT integrated solutions offerings. So the answer to your question narrowly, and I'll come back more broadly in the thesis is, yes, we had to do a fair amount of customization for APT's product suite, for example, for EMV, which, of course, is coming to the United States on October of 2015 but already exists today in Canada. We also had to make adjustments to the APT product suite for Interac, which, as you know, is specific to Canada and is a big chunk of the Canadian market. But that type of debit is very different here in the United States and different in other markets. So if we go back to the way we described APT at our last Investor Day in January of 2013, we think -- and really our business case was predicated at the time around capturing a lot more of the U.S. market. And as we said, we believe we were less than 10% penetrated in the revenue opportunity of the U.S. market at the time. We probably also said that we're far less than 10% penetrated at markets outside the United States, Canada being the most obvious adjacent market and was very important to us strategically, although not for the business case but strategically to expand that business outside the United States because we think we're early in the U.S., but we believe we're very early in markets outside the United States. So we've had folks selling into the value-added reseller and enterprise software channel in all of our markets for probably a couple of years now, including in Canada. So we know that sales proposition can be very attractive in those markets. But we didn't have some of the product suite that we needed to offer world-class products and services into those new territories. So the importance of APT going into Canada is not only do we already have sales in that market, but now we have something to sell that we think is sufficiently distinctive that it should drive additional growth, revenue and profitability. So I know that our folks at APT and our folks at Canada here at the company are very excited about doing that. We, of course, are also looking at other markets around the world including Europe, Asia and Latin America, to see whether those markets are next now that we've brought APT into Canada. So to a certain extent, we're very pleased with how we're doing with APT, as you know. But there would be a bit of shame on us if we had looked out 5 years from now and we didn't take that model and do everything that we could do given our multi-national [ph] footprint outside of our home market. 
 Thank you very much, operator. And thank you for everyone for dialing into our third quarter earnings call on behalf of Global Payments. 
Operator: Ladies and gentlemen, this concludes our conference for today. Thank you for your participation. You may now disconnect.